Operator: Ladies and gentlemen, thank you for standing by. And welcome to the OSI Systems Incorporated First Quarter 2020 Conference Call. At this time, all participants’ lines are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Mr. Alan Edrick, Chief Financial Officer. Sir, please begin.
Alan Edrick: Good afternoon. And thank you for joining us. I’m Alan Edrick, Executive Vice-President and CFO of OSI Systems. And I’m here today with Deepak Chopra, our President and CEO. Welcome to the OSI Systems fiscal 2020 first quarter conference call. We would like to extend a warm welcome to anyone who is a first-time participant on our conference calls. We are glad that you can join us. Earlier today, we issued a press release announcing our fiscal year 2020 first quarter financial results. Before we discuss our results, I would like to remind everyone that today's discussion will include forward-looking statements. In connection with this conference call, the Company wishes to take advantage of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 with respect to statements that may be deemed to be forward-looking under the securities laws. These forward-looking statements are based on management's current expectations, and are subject to uncertainties, risks, assumptions and contingencies, many of which are outside the company's control. Such statements include without limitation, information regarding the expected financial and operational performance of the company and its operating divisions; including the company's expected revenues, earnings and growth. Undue reliance should not be placed on our forward-looking statements as actual results could differ materially from our forward-looking statements due to numerous factors, including but not limited to factors described in the company's periodic reports filed with the SEC from time-to-time. All forward-looking statements made on this call are based on currently available information and speak only as of the date of this call. And the company undertakes no obligation to update any forward-looking statement that becomes untrue because of subsequent events or new information or otherwise. During today's conference call, we may refer to both GAAP and non-GAAP financial measures. For information regarding non-GAAP measures and comparable GAAP measures of the company’s results and a quantitative reconciliation of those figures, please refer to today's earnings release, which has been furnished to the SEC as an exhibit to a current report on Form 8-K. Before turning the call over to Deepak to discuss the company's general business and operations, I’ll take a few minutes to provide a high-level financial overview of the fiscal 2020 first quarter results. First, I am pleased to announce that we reported record first quarter revenues of $291 million, representing a 9% year-over-year increase driven by solid performance in each of our three divisions. Second, we reported Q1 GAAP diluted earnings per share of $1.10 compared to $0.50 in the same prior year period. Non-GAAP EPS, which excludes certain items specified in our earnings release and also to be referenced later on this call, came in at a record $0.91 per diluted share for Q1 of fiscal 2020 compared to $0.81 per diluted share for Q1 of fiscal 2019  Third, our fiscal 2020 Q1 cash flow from operations was approximately $25 million, a significant improvement over the negative $3 million in the same period last year, primarily due to stronger profits and improved working capital management. Our Q1, 2020 book-to-bill ratio for equipment and related services non turnkey [ph] was 0.9x as certain anticipated orders shifted to the right. Before diving more deeply into our financial results, and discussing our fiscal 2020 guidance, let me turn the call over to Deepak.
Deepak Chopra: Thank you, Alan and good afternoon to all of you. We started the fiscal 2020 with record revenues and EPS in the first quarter. All three divisions grew their revenues from the prior year first quarter and delivered nice profitability. Getting into each division’s performance starting with the security division, where we reported revenues of approximately $189 million, an increase of 11% over the prior year period. The security division continues to see an expansion of its opportunity pipeline in most product categories, both internationally and domestic U.S; although some orders that we anticipated in Q1 and the security growth have pushed to the right. Backlog continues to be strong specifically in the RTT and cargo solution equipment where we have clear visibility through fiscal 2020. A few examples of Q1 activities in our key end markets starting with ports and borders. During Q1, we continue to support the U.S. government on its initiatives to strengthen Border Security to prevent contraband illegal drugs, and people smuggling entering the country. A few of our products utilized for these critical efforts are our cargo and vehicle inspection systems, both fixed and mobile X-ray portals, explosive trace detection units for our drug detection, and baggage and parcel inspection X-ray systems. We are nearing the completion of the build out phase for that that turnkey service projects at the ports in Guatemala and in Asia, and look forward to both becoming operational in the next few months. The Middle East integrated service project continues to make progress. Our existing programs in Mexico, Puerto Rico and Albania are continuing to perform well and our check points have resulted in numerous seizures, and interdiction of illegal cargo shipments. On the Mexico turnkey program, we are in active discussions with the customer for an extension to the contract, which as you know originally, had a six-year term that started in 2012, and then we received a two year follow in 2018 which ends in January 2020. As you can understand, we can't comment on the details of the discussions. In aviation, passenger and cargo -- air cargo security we continue to be very active worldwide on tenders for Rapiscan 600 dual view baggage and parcel inspection systems, and the ORION 900 series, the new platform of the systems, together with the ETD systems and Real Time Tomography RTT CT Inspection Systems. During the quarter, we had strategic wins at the European airports and Asian airports for these products. We also have been very successful with air cargo customers that utilize our RTT and BPI systems at various logistic hubs and we see robust growth in this sector globally. RTT with its throughput and image quality has significant advantage for air cargo applications, compared to our competitors. For critical infrastructure security, during the quarter, we worked with several U.S. and international customers, specifically for radiation monitoring portals, ETDs and BPI machines. Off note, we received an order from a government agency to provide multiple units of our PM700 Radiation Monitoring Portal, which is used to screen individuals entering secure locations for radioactive substances. We also received several awards from private and government customers for Rapiscan 600 Series BPI. As we have mentioned before, our installed base globally for the Rapiscan BPI X-ray unit succeeds 15,000 thousand units. Going forward, we believe that the breadth of activity that we are seeing across critical regions and our customer base, positions the security division well for the remainder of fiscal 2020. Moving on to the Optoelectronics and Manufacturing division. Opto delivered record Q1 revenues, exhibiting 4% growth over the prior year, with improving margins. The top line was helped slightly with the benefit of a full quarter from the acquisition of an Optoelectronics trust strategic product line completed at the end of July 2018. The profitability of the Opto was also helped by more favorable revenue mix and operating efficiencies. We will continue to make investments and pursue strategic acquisition opportunities to expand in the areas of growth in this division. Looking ahead, we continue to see sustained momentum in the key markets and customers for Opto. Moving onto the health care division, where Q1 sales were up 5% as compared to the first quarter of fiscal 2019 which significantly improved operating income. Over the past couple of years, we have brought in key talent, made operational improvements and shifted the business focus to the core products of patient monitoring, cardiology and related supplies and accessories. We will continue to focus on opportunities where we can differentiate among our peers, by offering innovative tools and accessories highlighting our customizable and open architecture based solutions. The backlog remains strong and we remain focused. The new President, Shalabh Chandra who joined us in early September is making good progress. Overall, I'm pleased with our Q1 performance, excited about our future, and look forward to the coming quarters. I want to take a moment to thank all our employees for their efforts. With that, I will hand the call back over to Alan, to talk in detail about our financial performance, before opening the call for questions. Thank you.
Alan Edrick: Thank you, Deepak. Now I will review the financial results for our 2020 first fiscal quarter in greater detail. As mentioned previously, our revenues in Q1 of fiscal 2020 were up 9% year-over-year. Revenues in the security division reached a record Q1 level of $189 million, an increase of 11% from Q1 of fiscal 2019, driven primarily by growth in the cargo and RTT product lines. The Opto division continued its impressive performance, with revenues increasing 4% year-over-year to a new Q1 record of $74 million. This increase was driven by 6% in external revenues, partially offset by a reduction in intercompany revenues. Our health care division posted solid revenue growth of 5% driven by U.S. demand, which was leveraged to significant growth and profits. The Q1 gross margin of 34.1% was down from 36% in the same quarter last year. Though we saw gross margin expansion in our Opto and health care divisions, reduced gross margin in the security division, due to the mix of revenues resulted in the overall reduction. With respect to the security mix, security product revenues were up 24% while security service revenues were down 5%. Security product sales tend to have lower gross margin than security service sales, thus resulting in a reduced overall gross margin. As mentioned on previous calls, our gross margin will fluctuate from period to period, based on a revenue mix among other factors. Moving operating expenses, SG&A expenses were up slightly by 0.8% year-over-year. However, as a percentage of sales, SG&A expenses decreased to 21.4% in Q1 of fiscal 2020 from 23.2% in Q1 of the prior year, which evidences our diligent efforts across all of our divisions to improve efficiencies, and prudently manage our cost structure. R&D expenses in Q1 were $14.2 million up 4% from Q1 of the prior year, largely due to activity in the security division. We remain focused on innovative product development, which we view as vital to the long term success of our business. In Q1 of fiscal 2020, we recorded a $2.1 million benefit in restructuring and other charges, due primarily to insurance recoveries of legal costs, compared to a $4.2 million charge we took in Q1 at fiscal 2019. Moving to Interest and then taxes. Interest and other expense in Q1 of fiscal 2020 decreased to $4.7 million from $5.3 million in the same prior period a year ago, as a result of lower average borrowings, due to the strong trailing year cash flow, and lower average interest rates under our credit facility. On the tax side, excluding the impact of discrete tax items, our effective tax rate in Q1 of fiscal 2020 was 27.9% compared to 28.1% in the first quarter of fiscal 2019. We recognized discrete tax benefit of 6.2 million for equity based compensation in Q1 of this fiscal year, compared to a 1.5 million tax benefit for equity based compensation in the same prior year period. As a result, we reported a tax benefit and resulting negative tax rate of 2.9% in Q1 of fiscal 2020 compared to a positive tax rate of 13.9% in Q1 of fiscal 2019. I will now turn to a discussion of our non-GAAP adjusted operating margin, which excludes restructuring and other charges, and amortization expense of enquired intangible assets. The company's non-GAAP adjusted operating margin in Q1 of fiscal 2020 was 9.1% comparable to the 9.2% in Q1 of fiscal 2019. Similar to gross margin as I mentioned earlier, we saw year-over-year operating margin increases in our Opto and Healthcare divisions, offset by a reduction in operating margins in the security division. The Opto division's operating margin expanded significantly from 11.7% in Q1 last year to a Q1 record 13.0% in fiscal 2020. The Healthcare division reported a nice turnaround from negative 4.4% in Q1 last fiscal year to 7% in Q1 of fiscal 2020. With incremental investment in R&D and the change in gross margin previously noted, the security divisions operating margin was 12.2%. Moving to cash flow. In Q1 of fiscal 2020, we generated $24.8 million in operating cash flow compared to negative $2.8 million in Q1 of the last fiscal year. This strong Q1 fiscal 2020 cash flow was driven by increased profits, improved inventory management as days inventory on hand decreased to 128 days in Q1 of fiscal 2020 from 184 days in Q1 of fiscal 2019 and increased customer advances. This was partially offset by an increase in days sales outstanding to 77 days in Q1 of fiscal 2020 from 76 days in Q1 of fiscal 2019. CapEx in the quarter was 6 million, which included investment for turnkey projects, while depreciation and amortization expense was 13.5 million. We were active in our stock buyback program in the 2020 first fiscal quarter acquiring approximately 126,000 shares. As of September 30th, 2019 436,000 shares approximately were available for additional repurchase under the program. Our balance sheet remains strong. We ended the quarter with net leverage of approximately 1.4. Finally, turning to guidance. For fiscal year 2020, we are increasing our guidance for revenues to a range of $1.238 billion to $1.273 billion, and our guidance for non-GAAP earnings per diluted share has increased to a range of $4.61 to $4.83. This non-GAAP diluted EPS range does not reflect potential impairment, restructuring and other charges, amortization of acquired intangible assets, and non-cash interest expense and their associated tax effects, as well as discrete tax items. We currently believe the sales and non-GAAP earnings guidance reflect reasonable estimates. Actual sales and non-GAAP earnings, however, could vary from the anticipated ranges, due to the risks and uncertainties specifically affecting our business, and generally affecting industries in which we operate. These risks and uncertainties include items beyond our control, such as site readiness for product installations, evolving government trade policies, customer acceptance of our products and the timing of orders and contract renewals in each division, and other risks and uncertainties discussed in our SEC filings. We have continued to focus on the growth of our business while investing in product development, making selective strategic acquisitions and managing our cost structure. We believe these efforts will enable OSI to continue our leadership role, with innovative products and solutions across our various industries. Thank you for participating on this conference call and at this time, we would like to open the call to questions.
Operator: [Operator Instructions]. Our first question comes from the line of Larry Solow from CJS Securities. Your line is open.
Lawrence Solow: Great, good afternoon. Thanks for taking my questions. Just on the security piece, can you just give us a little more color, a little bit of light on the orders in terms of your visibility? It sounds like there are some specific orders that were shifted a little bit to the right. Do you still expect those to happen this year? It sounds like it's pure -- more timing than anything else?
Deepak Chopra: Good question. This is Deepak here. Yes, I did say that, and this business, especially globally, the pipeline is very strong. We have a lot of opportunities out there, but as you're chasing these orders, a lot of these orders depend upon the readiness of the customer even while placing the orders. And as you get into both the cargo equipment orders, and if you are looking at the RTT orders globally, some of them got pushed to the right, but our total pipeline continues to be very strong. We have said it before in the previous calls that as the deadlines are approaching in Europe, 2022, 2021, airports continue to move forward. There is a lot of activity in the U.S. I'm sure you've seen a lot of press on what's happening on the southern border. There is a lot of activity; we are very well placed, so we are very confident about the orders.
Lawrence Solow: Okay, so customers haven't necessarily gotten more hesitant on a macro level, it is just more -- or, I mean is that something that you don't know or you know..?
Deepak Chopra: This is mostly timing related. None of them have gone away, because they need those products.
Lawrence Solow: Right.
Deepak Chopra: What happens is that, if the airport's terminal is not ready, if they don't have the baggage handling system in time, they've got to get their construction looked at, and it changes the timing of it. We've said it not only just for the order placement, but it also has an impact on the actual shipments. That's why some of the revenues also move from one quarter to the other.
Lawrence Solow: Right, and pretty impressive on the product revenue being up 24% year-over-year. There was no acquisition there or anything else. I guess that is somewhat on the timing side, and then the flip side question to that is, what drove the service piece down 5%?
Deepak Chopra: Basically, it's interrelated, again, to the mix and it can also, what we say is as the 24% increase and the equipment sales have gone up, remember, our business, when the equipment is placed it requires a lot more service people, installation and stuff. That consumes a lot, and then it has service later on, after the warranty period. So, as we are shipping a lot of product, and Alan mentioned this quarter was quite heavy in the equipment sales, and that required lot more support work in the service personnel, too.
Lawrence Solow: And then some of that on that product side, was some of that helped by the initial start from some of the -- I know you had a couple of sort of quality turnkey deals that I think were beginning now, if I'm not mistaken. Did that contribute all this quarter?
Alan Edrick: Yes. This is Alan. The actual turnkey deals were not part of Q1 yet, they'll be coming here in the next few months. The one that was kind of a hybrid deal, we have recognized some revenues associated with that, so that has been helpful for us.
Lawrence Solow: Okay, and then just switching gears real fast on the healthcare side, obviously Q1 is usually, in terms of profitability, a down quarter or barely profitable. You know, 7%, obviously it's only a couple of million dollars. But it seems like hopefully you should be for the full year, I know you don't guide per segments, but perhaps in the double digits this year on an operating margin level? is that something to target or shoot for this year?
Alan Edrick: Larry, this is Alan. You're right, we only provide guidance on the overall OSI Systems, and we think there are nice opportunities in healthcare to expand margins, with it being our highest contribution margin division, so it becomes very sensitive to the topline.
Lawrence Solow: Okay, great. Thank you very much.
Operator: Thank you. Our next question or comment comes from the line of Aman Gulani from B Riley, FBR. Your line is open.
Aman Gulani: Hey guys, thanks for taking my question and congratulations on another solid quarter. So yes, nice to see some lift in the Opto margins. If you can provide a bit more color on what's driving the improved margins there? Is it like a particular end market that's driving the margins a little bit higher?
Alan Edrick: Sure, this is Alan. I'll take a shot at that. Yes, we are real pleased with the Opto division's performance. The operating margins, we thought were outstanding. What was really driving it was sort of an improved mix. We have gotten more into the flex circuit business over the past several years. We did a few acquisitions a couple of years ago, and those businesses are higher margin in general, and they have continued to perform outstanding. That coupled with the strong performance in our core optoelectronics and our core contract manufacturing has really helped. Over the time, we've shedded some customers that were either low margin or no margin, so overall, the mix has just improved, leading to much stronger operating margins for the group.
Aman Gulani: Got it. Thank you. And then any color on the European checked baggage conversion? Last quarter you said you were about 30% to 40% through that. Has that gone up from the prior quarter?
Deepak Chopra: This is Deepak here. It continues, I've said in my remarks we won some contracts in Europe and in Asia. It continues to get more installed base out there, but I still believe strongly that the heavy lifting and the big numbers are going to be in the later part, late in 2020 and 2021 as they come closer to the deadline.
Aman Gulani: Got it. Thank you. And then last question for me, I know you've been talking about securing a client in the Middle East for integrated services. You did mention that was progressing smoothly. When do you think you could start generating meaningful revenues from that contract?
Alan Edrick: This is Alan. I think we'll see some meaningful revenues from that contract in this fiscal year, fiscal 2020, so I think we're on track for that.
Deepak Chopra: There is a Deepak. Just to add on to what Alan said, we have said it and we've been very careful in saying it's an integrated services contract. We have also said in previous calls that it is going to go through phases, Phase 1, Phase 2, Phase 3, Phase 4, so it can continue to expand, depending upon the performance and the satisfaction to the customer. We feel very good about it. To us, that looks like there'll be a continued long-term growth and a good, profitable contract long term in that area.
Aman Gulani: Okay, thank you. I'll pass it on.
Operator: Thank you. Our next question or comment comes from the line of Jeff Martin from Roth Capital Partners. Your line is open.
Jeff Martin: Thanks, good afternoon Deepak and Alan, how are you?
Deepak Chopra: Hi Jeff, fine.
Jeff Martin: Deepak, I was wondering if you could expand a little bit on the competitive positioning that you've got in aviation. Passenger and cargo, you mentioned higher throughput and better image quality. I was wondering if you could just elaborate on that?
Deepak Chopra: Yes. This is Deepak here Jeff, good question. We have always maintained that our RTT has some very significant advantages over what we call the rotating gantry, less moving parts. It has fundamentally higher speed, image quality is very good, and it has caught on very well with the cargo carriers who want to increase the throughput of package inspection, and they want to do better imaging of the packages. So that has become a big success story for us and we continue to focus on it, and we are spending a lot of R&D money to optimize their requirements, and that continues to see growth. On top of that, in the aviation checked baggage sector also, we've got a lot of progress made. We continue to ship more machines and as the deadline in Europe comes closer, we continue to see more action. On top of that, we have said in the last couple of conference calls, we have also started focusing on what we call Checkpoint CT, outside the U.S. And that has gotten a lot of traction, there is a lot of interest, we are doing a lot of demos with various customers, especially in Asia and in Europe. We think that long term, that growth market is also going to be there in what we call the Checkpoint 920CT for the Checkpoint. So all-in-all, both in cargo and in checked baggage and now in the Checkpoint CT, we look at the next couple of years, the growth momentum will continue.
Jeff Martin: Okay. And then could you repeat your comments around the radiation monitoring opportunity? This is a market you've been in for some time. You mentioned 15,000 units, but I didn't capture if that was the addressable market or if that's your installed base?
Deepak Chopra: Thanks, good question. I want to clarify. There are two different things I said. One, we have shipped our radiation monitors to some places for inspection, and we are in that business for a long time. It's not a big business, but you got confused. The second sentence I said is our installed base worldwide for our baggage, for our Checkpoint DPI machines globally -- that's the X-ray machines, not the radiation portals and such -- and we think that machine, that quantity might be more than 15,000 installed base. So there are two different things. Sorry for the confusion.
Jeff Martin: Okay, I appreciate that. And then final question, if you hadn't had these orders pushed to the right, what would your book-to-bill, have been in security?
Deepak Chopra: Well, obviously, north of one.
Jeff Martin: Okay, great nice quarter guys.
Deepak Chopra: And Jeff, just to clarify that again. We've said that before. You've followed us for a long time. This business is lumpy, both in bookings and in the shipments. None of them have disappeared or anything else, just pushed, and we continue to look at it. Some of these bookings also become a little bit more lumpy the bigger the size of it. Because when you're selling one or two, versus if you want to sell the airport 12 machines, it becomes a big difference, and it takes a longer time to predict when.
Jeff Martin: Great point. Thanks, Deepak.
Operator: Thank you. Our next question or comment comes from the line of Sheila Kahyaoglu from Jefferies. Your line is open.
Sheila Kahyaoglu: Hey, good afternoon guys and thank you for the time. I was wondering if you could give a little bit more comment on the security, just what you're seeing on a global basis. Are you seeing any impact from China trade or Brexit with this business? And then, any end market color that you have as well within, whether it's aviation or stadiums or what's driving some of the product strength? Thank you.
Deepak Chopra: I'll take that. This is Deepak here, Sheila. We have said it before, we continue to monitor it. We have had no impact from any of the China tariffs, at all. At the same time, as we have said before, more turmoil in the world, more requirement for security. So we continue to see a very robust pipeline, continues to be very, very proactive and though it takes a long time, we have said it but our pipeline for turnkey businesses continues to grow, with long cycles. Some of them are difficult to predict when, but there is a lot more interest. The more we talk, the more we succeed, the more we take our customers to the places. I've said in the last couple of conference calls, we are very fortunate that we are going to have a turnkey project in Asia. We're going to have a turnkey project, we already know, in Puerto Rico. We have one in Albania, we have one in Middle East, we have one in Latin America and Mexico. So all those become what I call a showpiece for the customers of that region to come and look at it, and it's catching on quite well. So we think that there is no what I call a show stopper, for the continuous growth of the security business, as well as the new applications that have come out into the air cargo area or the checked baggage. The European airports have to get to a deadline. Now they are talking about the Checkpoint CT, add a checkpoint, all the new applications, so the growth continues. We are not impacted, but we are watching it carefully.
Sheila Kahyaoglu: Got it. And then is there any color that you could give? Is the services business in turnkey about a quarter of the portfolio? Is that still the case?
Alan Edrick: Sheila, this is Alan. It would be less than that. It was a higher percentage under the initial Mexico contract, when the Mexico revenues were larger and before the rest of our business grew so significantly. So, turnkey is a very nice part of our program, but it's not as large as that.
Sheila Kahyaoglu: Okay. And so turnkey and services you would bucket into one?
Alan Edrick: We classify turnkey as part of services.
Sheila Kahyaoglu: Okay, got it.
Alan Edrick: If you're talking about turnkey and services together, then yes, that represents a far more substantial part of our portfolio.
Sheila Kahyaoglu: Okay. And then Alan, just on the free cash flow, a good quarter in terms of $25 million. Is that sort of the run rate we should be thinking about? And I guess, how do you think about capital deployment from here, given that you've lowered your leverage quite a bit?
Alan Edrick: Sure. Yes, we were real pleased with our free cash flow, our operating cash flow and our free cash flow. I wouldn't necessarily say that's a run rate on each quarter. I think you'll see some quarters where it will be larger than that, and I think you'll see some quarters where it may be significantly below that. A lot of it would be reflective of our need to build inventory and the timing of collections. But overall, we're very pleased with where our cash flow is. How we look to deploy our capital allocation, with our strong cash and low net leverage, is first and foremost, we like winning these new turnkeys and they require some CapEx, which had nice returns on investment for us. We also look at M&A. As you know we've been active throughout our history, and any residual cash we use for opportunistic stock buyback, as well as paying down any debt that we might have.
Sheila Kahyaoglu: Great, thank you for the color.
Operator: Thank you [Operator Instructions] I'm showing no additional questions in the queue at this time. I'd like to turn the conference back over to management for any closing remarks.
Deepak Chopra: Thank you. I want to thank everyone for joining our call. I look forward to speaking to you on the next quarter call. And again, I want to thank all the employees for a good deliverance and execution for the quarter. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes the program. You may now disconnect. Everyone, have a wonderful day.